Operator: Good morning, ladies and gentlemen, and welcome to Spirit AeroSystems Third Quarter 2021 Earnings Conference Call. My name is Juan, and I will be your coordinator today. . I would now like to turn the presentation over to Aaron Hunt, Director of Investor Relations. Please proceed.
Aaron Hunt: Thank you, Juan, and good morning, everyone. Welcome to Spirit's Third Quarter 2021 Results Call. I'm Aaron Hunt, Director of Investor Relations. And with me today are Spirit's President and Chief Executive Officer, Tom Gentile; Spirit's Senior Vice President and Chief Financial Officer, Mark Suchinksi; and Spirit's Executive Vice President, Chief Operating Officer and President of Commercial division, Sam Marnick. After opening comments by Tom, Sam and Mark regarding our performance and outlook, we will take your questions.  Before we begin, I need to remind you that any projections or goals we may include in our discussion today are likely to involve risks, which are detailed in our earnings release, in our SEC filings and in the forward-looking statement at the end of the presentation. In addition, we refer you to our earnings release and presentation for disclosures and reconciliation of non-GAAP measures we use when discussing our results. As a reminder, you can follow today's broadcast and slide presentation on our website at investor.spiritaero.com.  With that, I would like to turn the call over to our Chief Executive Officer, Tom Gentile.
Thomas Gentile: Thank you, Aaron, and good morning, everyone. Welcome to Spirit's third quarter results call. This past quarter has been one of exciting transformation for Spirit. We announced the formation of 3 new business segments: Commercial, Defense & Space and Aftermarket. We also will begin reporting our results in these 3 new segments beginning with Q4 2021.  Over the last 2 years, we have talked a lot about our 3 key priorities: diversify our revenues, delever $1 billion over 3 years and drive our margins to 16.5%. During this quarter, we have made progress on all 3 of these areas. I will discuss progress on diversification. Sam will talk about progress on margins and Mark will discuss the status of our balance sheet.  Let's start with diversification. Our acquisition of Bombardier's aerostructure assets last year was a catalyst in our transformation and the largest in our history, boosting our Airbus, business jet and aftermarket content. We also added defense content with Project Mosquito, an unmanned aircraft for the U.K. Ministry of Defense. Our integration activity on the Bombardier acquisition is 96% complete. Among the key actions we have taken was to close the defined benefit pension plan in Belfast to new participants, which resulted in a gain that Mark will cover in more detail later. We also recently concluded our transition services agreement and now have fully separated from Bombardier's IT systems. Lastly, we are capturing our planned synergies and are on track to realize the full 6% target over the next 1 to 2 years. We have appointed Sam Marnick, our COO, as the President of our new commercial business segment.  I'll turn it over to her now to give you an update on where we are in the recovery. Sam?
Samantha Marnick: Great. Thank you, Tom. Our newly established commercial segment will include our work with Airbus and Boeing as well as work in business jets and other commercial growth areas such as eVTOL. In the early summer, we saw a strong showing in domestic air traffic recovery when it reached approximately 85% of pre-pandemic levels. The spread of the COVID Delta variant subsequently drove a slowdown of the recovery in the later summer months. More recently, as COVID case rates decline and vaccination rates increase, we believe this will eventually translate to increased domestic traffic and create continued support for narrow-body production rates.  For the 737 MAX, we have continued to increase production rates and have just achieved 21 aircraft per month. We are on track to deliver approximately 160 737 shipsets in 2021. In the third quarter, we delivered 47 shipsets to Boeing, and we remain on track to see the 737 inventory decline to approximately 100 units by the end of the year and reach a permanent buffer of approximately 20 units by the fourth quarter of 2022. We expect to then maintain that buffer as a cushion to the production system.  On our Airbus narrow-body program, we had 105 deliveries for the A320 and remain aligned with Airbus' planned increase to 45 aircraft per month by the end of this year. We also are committed to achieving the A320 rate increases that Airbus has projected over the next several years.  On the A220 program, Spirit delivered 12 shipsets in the third quarter and we plan to stay in sync with Airbus as they plan to increase to 6 aircraft per month in the first half of 2022. The continuing recovery in domestic travel and narrow-body production will benefit Spirit since approximately 85% of our backlog is tied to narrow-body aircraft. We believe international travel will take some time to recover, and we will continue to repurpose our widebody production capacity to defense and other commercial opportunities.  On the 787 program, we continue to coordinate with Boeing as they work to resume deliveries. In the third quarter, we took a $46 million forward loss on the 787 program, in line with the schedule changes that we previously communicated.  As Tom mentioned, we are positioning Spirit to optimize our production system and cost structure, so we emerge stronger from the COVID crisis. Over the past few months, we have started to operationalize a number of the initiatives we have been developing.  During the quarter, we had the grand opening for our new global digital logistics center, which consolidated about 500,000 square feet of warehouse space across 3 buildings into a centralized operations center that is just over 150,000 square feet. The GDLC can receive, store and distribute more than 95,000 unique parts directly to Spirit's factory floor in Wichita.  In late September, we toured our new Airbus A320 spoiler line in Prestwick, Scotland. The new highly automated production system uses robots that lay the carbon fiber  during fabrication. The state-of-the-art resin transfer molding process has also eliminated the need for an autoclave, saving the initial and ongoing costs associated with operating that type of equipment.  While in Prestwick, we also have the grand opening for our new Aerospace Innovation Center, which finished construction earlier this year. The facility is over 90,000 square feet of laboratory and office space for over 20 partners that will help drive advanced research on projects like Airbus' Wing of Tomorrow.  With that, I'll turn it back over to Tom.
Thomas Gentile: Thanks, Sam. In the Defense & Space segment, we finalized the acquisition of FMI in January 2020 and have seen very strong results during the first 2 years of ownership, which have contributed to the growth of our Defense & Space business. Going forward, in Defense & Space, we will be focusing in 5 areas: next-generation rotorcraft and fixed-wing aircraft, hypersonics, space, attritable drones and next-generation missiles.  Given the delay in international air traffic recovery and the impact that will have on widebody production rates, we continue to repurpose and leverage our widebody capacity for opportunities in defense growth areas. With the infrastructure capital and tooling we already have in place, we can bring manufacturing capability for defense online much faster than others.  In August, leaders from our Defense & Space business participated in an event with Lockheed Martin's Skunk Works in Palmdale, California, to unveil Polaris, a digital engineering and advanced assembly demonstrator. Spirit worked closely with Lockheed Martin to demonstrate our digital design and manufacturing capability and how we can integrate with Lockheed on the development of an advanced demonstrator. The collaboration and experience gained from this effort will form the foundation for how we bring new products to the market in the future.  Research and development activities are key to our defense and space business growth. Last month, we opened the National Defense Prototype Center in partnership with Wichita State University's National Institute for Aviation Research, NIAR. U.S. Senator Jerry Moran was on hand for the big event. The new center has more than 125,000 square feet of manufacturing and lab space covering a wide range of capabilities, including advanced composite fabrication, high-temperature testing and nondestructive inspection. We expect that the development, prototyping and industrialization capabilities the center offers will be key enablers for Spirit's Defense & Space growth.  Another defense research and development effort is Spirit Belfast role as the prime for the U.K.'s Loyal Wingman program, called Project Mosquito. The U.K. selected Spirit Belfast in late 2020 for this $42 million program. With these initiatives in place, we remain on track to achieve $1 billion in defense revenue by 2025 at typical defense margins.  Now let's shift to our Aftermarket segment. The Bombardier acquisition doubled our aftermarket activity. We were able to combine our repairs for flight control surfaces and nacelles for Boeing in the United States with similar activities for Airbus in Europe. Our acquisition of Applied Aerodynamics added radome repairs that we can now do in both locations. Then our JV with EGAT provides us a base in Asia in Taiwan where we can do all of these Boeing and Airbus repairs. We are targeting aftermarket growth to $500 million in revenue by 2025 at accretive margins. The addition of these new business activities opens up significant new growth opportunities for Spirit in the future.  In addition to capturing that growth, we made the decision to align our organizational structure around these 3 new business segments: Commercial, Defense & Space and Aftermarket. We also announced that we will change our external reporting structure to these 3 segments beginning with the 2021 fourth quarter results. This new business focus will accelerate Spirit's diversification. While aspirational, we remain committed to achieve a revenue split in the future of 40-40-20 across the 3 segments.  Now I'll turn it over to Mark to take you through our detailed financial results. Mark?
Mark Suchinksi: Thanks, Tom, and good morning, everyone. I hope everybody is doing well and staying safe. We believe we're taking the right actions to put Spirit in a position to emerge stronger and maximize the benefits of the recovery as narrow-body production rates continue to rise. Despite the challenges over the last couple of years, Spirit has maintained focus on our strategy to diversify and grow. The 3 new segments that Tom detailed earlier will position us well and with a sharp focus on how we go to market with new products and services. We are excited for the change and how they will move us forward in our diversification journey. For the fourth quarter results, we will begin reporting in these 3 new segments.  Now let's move to our third quarter 2021 results. Please turn to Slide 7. Revenue for the quarter was $980 million, up 22% from the same quarter of last year. The revenue increase was primarily due to higher production rates on the 737 program as well as increased revenue from the recently acquired A220 wing and Bombardier business jet programs. These increases were partially offset by the lower widebody production rates resulting from the continued impacts of the COVID-19 pandemic on international air traffic and Boeing's pause on the 787 deliveries.  Turning to deliveries. Overall, deliveries increased to 250 shipsets compared to 206 shipsets in the same quarter of 2020. The third quarter 737 deliveries have increased to 47 compared to 15 shipsets delivered in the third quarter of last year. We remain on track to deliver roughly 160 shipsets this year.  Let's now turn to earnings per share on Slide 8. We reported earnings per share of negative $1.09 compared to negative $1.50 per share in the same period of 2020. Adjusted EPS was negative $1.13 compared to negative EPS of $1.34 in the third quarter of 2020. Adjusted EPS this quarter excludes deferred tax asset valuation allowance and pension curtailment gain.  Looking at our operating margins. We saw improvement in the third quarter to negative 16% compared to negative 22% in the third quarter of 2020. The cost reduction actions we have taken over the last year, along with increasing production rates, have contributed to the improved result with lower costs and expenses, including excess capacity and restructuring costs. We also recognized lower forward loss charges compared to the same period last year.  In the third quarter, we recognized $70 million of forward loss charges compared to $128 million in the third quarter of 2020. This quarter's forward loss was primarily driven by $46 million in the 787 program, most of which was related to the reduction in Boeing schedule as well as additional forward loss on the A350 program, also related to schedule changes.  Also during the quarter, we recorded $27 million of charges related to a litigation reserve as well as an additional noncash valuation allowance of $35 million on deferred income tax assets. Additionally, other income increased primarily due to a curtailment gain of $61 million resulting from the closure of the defined benefit plans acquired as part of the Bombardier acquisition. The shorts pension is expected to close the future accrual of benefits for all employees who are members of the plan effective at the end of the year.  Now turning to free cash flow on Slide 9. Free cash flow for the quarter was positive $174 million compared to negative $72 million in the same period of 2020. Free cash flow benefited from $228 million income tax refund, an additional $70 million income tax refund was received in October which completes the expected full year refund of approximately $300 million. The $70 million will be reflected in our fourth quarter financial statements. In addition, during the quarter, we received $38 million of the $75 million award from the Aviation Manufacturing Jobs Protection Program. We continue to expect free cash flow for the year to be between negative $200 million and $300 million.  Let's now turn to cash and debt balances on Slide 10. We ended the third quarter with $1.4 billion of cash and $3.6 billion of debt. In terms of our delevering, we remain committed to paying down $1 billion of debt over the next 3 years. In October, we completed the syndication of a $600 million term loan replacing existing $400 million term loan. Due to market conditions, we were able to achieve a reduction in our term loan interest rate of 175 basis points. Given the lower interest rate environment, we upsized it by about $200 million with the plan to use the incremental proceeds to repay higher interest debt-like liabilities.  Third quarter financials do not include this new activity. We expect to close on the term loan in November and the fourth quarter 2021 financials will reflect the new cash and debt balances.  Now let's turn to our segment performance on Slide 11. In the third quarter, Fuselage revenues were up 14% compared to the same period of 2020, primarily due to higher production volumes on the 737 and Bombardier business jet programs, partially offset by lower production volumes on the twin-aisle programs. Operating margin for the quarter was a negative 11% compared to negative 23% in the same period of the prior year. The segment recorded $2 million of unfavorable cumulative catch-up adjustments and $50 million of net forward losses during the quarter. In comparison, during the third quarter of 2020, the segment recorded $9 million of favorable cumulative catch-up adjustments and $92 million of forward losses.  Propulsion revenue in the quarter improved by 45% compared to the same period of 2020. It was primarily due to higher revenue on the 737 program and higher aftermarket sales, partially offset by decreased volume on the 777 and 787 programs.  Operating margin for the quarter was a positive 9%. This is compared to negative 9% in the same quarter last year. Increased 737 production and the resulting decrease in excess capacity costs were the main drivers to the improvement in segment profitability. The segment recorded $2 million of favorable cumulative catch-up adjustments and $6 million of forward losses. In comparison, during the third quarter of 2020, the segment recorded $5 million of unfavorable cumulative catch-up adjustments and $15 million of forward losses.  Wing revenues were up 44% compared to the same period of 2020, primarily due to higher production volumes on the 737 and A220 programs, partially offset by decreased production on the 787 production program. Operating margin in the quarter was negative 7% compared to negative 14% in the third quarter of 2020. The increases in segment profitability and operating margin were primarily a result of 737 production volumes and the resulting decrease in excess capacity costs, partially offset by higher costs on the A320 program. The segment recorded $15 million of net forward losses compared to $22 million during the third quarter of 2020.  Beginning with the 2021 fourth quarter results, our reported segments will reflect Spirit's financial results based on the 3 new divisions: Commercial, Defense & Space and Aftermarket. For full year 2021, we expect the Commercial segment to make up approximately 75% of our revenues, Defense & Space 20% and Aftermarket approximately 5%. In closing, our collective efforts to overcome the adversity we have faced over the last few years is starting to take hold and set us up for better times ahead. Despite the turbulences we have faced, we are holding course to reach our -- free cash flow target set at the beginning of this year. Our flight path to a better future is dependent on reaching key way points, like growing our defense and aftermarket business and achieving higher narrow-body production rates with a sharp focus on execution. We believe the new segments will give us the proper perspective to navigate through the recovery and position us so that we can emerge a stronger company.  With that, I will turn it back over to Tom for some closing comments.
Thomas Gentile: Thanks, Mark. The past couple of years have reinforced the need to transform our business, and we are excited about the launch of our 3 new business segments: Commercial, Defense & Space and Aftermarket. Our Commercial segment continues to recover from the dual crises of the MAX grounding and the COVID-19 pandemic. These 2 crises have created the largest disruption in the history of our industry. During this time, our primary focus has been on the safety of our employees. Vaccinations are a critical part of staying safe and higher vaccination rates will help accelerate the recovery of air traffic in the global aviation industry.  As a federal contractor, we are working to comply with President Biden's vaccine mandate for federal contractors, which applies to all of our U.S. workers. We have actively encouraged all of our workers to get vaccinated or to apply for a medical or religious exemption. To date, we are making good progress towards this goal, and we'll continue working with our union partners and our employees to avoid disruption to our operations.  With domestic travel around the world recovering faster, we are starting to see narrow-body production rates at both of our OEM customers begin to increase. We have been working closely with our own supply chain to ensure that we are ready to meet the production targets they have flowed down to us. The recovery of narrow-body production will benefit Spirit since 85% of our backlog is narrow-body aircraft.  International air traffic and widebody aircraft production will take longer to recover. In the meantime, we will continue to repurpose excess widebody capacity to help grow our emerging Defense & Space business, which we target achieving $1 billion in revenue by 2025.  With our recent acquisitions of Bombardier's aftermarket business as well as Applied Aerodynamics and the JV with EGAT, our Aftermarket segment is on track to achieve $500 million in revenue by 2025. We also remain committed to paying down the debt we took on during the pandemic and regained our investment-grade credit rating. Our objective is to delever by $1 billion over the next 3 years, and that remains on track. This past quarter, we refinanced our Term Loan B to take advantage of lower interest rates, and we will use proceeds from that refinancing and cash from our balance sheet to pay down other high-cost liabilities.  We also continue to invest in innovation and productivity projects to improve our operations. We expect the actions that we have taken will contribute to our objective of achieving 16.5% margins as narrow-body production rates continue to recover.  With that, we will be happy to take your questions.
Operator: . Our first question comes from David Strauss from Barclays.
David Strauss: Mark, could you maybe touch on the implied fourth quarter cash flow? I think you talked about the $70 million tax refund you've got, you've still got, I guess, the $130 million or so pension payment. It looks like kind of at the midpoint, you're implying that maybe the cash burn actually is a little bit higher in the fourth quarter than what we've seen in Q2 and Q3, adjusting Q3 for the tax refund.
Mark Suchinksi: Yes, David. You've got that right. In the fourth quarter, we've got, I would say, 2 onetime items that will impact our free cash flow. As you indicated, we've got the remaining, as I discussed, around $70 million, $71 million of cash income tax refund that we received here at the end of October. And so that will definitely be a tailwind helping the quarter. But we'll also, as we've discussed in the past, as part of the Bombardier acquisition, we had a commitment to make a onetime payment as part of the acquisition. And that, that's in the ballpark of $135-or-so million plus normal catch-up pension payments that are normal in the fourth quarter. And so overall, we're expecting a headwind in the quarter of around $150 million to $155 million, right?  And so if you look at where things are at now, we feel comfortable that we can hit the $200 million to $300 million. There's still some level of uncertainty, primarily around 787 in the fourth quarter that could potentially have an impact on the quarter on our free cash flow. So we really haven't tightened that down more. I think over the coming weeks, we'll get a better handle on where we think that things will end up. But we're very comfortable that including the cash tax of $300 million that now has been fully received, we expect the full year free cash flow to hit the $200 million to $300 million. And part of some of the cash headwinds that we saw in the third quarter were, as we started the ramp up on the 737 program, we had to hire our workers, start building WIP in the line and that drove up some of our contract assets, which will consume some cash.  And then as we move into the fourth quarter, we will start to deliver higher on the 737 program. But one negative is we've got the Thanksgiving holiday, we've got the Christmas holiday, and that has a reduction in delivery dates. So we won't be seeing the full benefits of the rate break in the fourth quarter, we'll obviously deliver more than the 47 we delivered, and that will help some in the fourth quarter. But I think that's the way I would summarize it for you.
David Strauss: Okay. And just as a quick follow-up on the MAX as we think about next year, just based on Boeing talking about getting to 31 a month, you're talking about drawing down your buffer inventory to around 20 by the end of next year. Should we think -- should we be thinking about deliveries in the range of 275 to 300 for next year on MAX?
Thomas Gentile: Yes. So David, this is Tom. I mean if you do the simple math, that's in that ballpark, maybe a little higher. But we'll wait to see where Boeing ends up. What they have communicated publicly is that they'll get to 31 aircraft per month by the beginning of the year. We'll lag them and we'll burn down our inventory. As we've said, we think it will get to 20 by Q4 of next year. And so if you add up all those numbers, I think the math you indicated gives you a ballpark of what production could be, but it really depends on what Boeing does after the first quarter.
Mark Suchinksi: Yes. I think that it's a good directional assumption that you've got there, David, as Tom said, maybe a little higher. When we come back and talk to you after the first of the year, we'll give you guys more specifics on our narrow-body deliveries, particularly 737 and A320.
Operator: The next question comes from Seth Seifman JPMorgan.
Seth Seifman: I wonder if you could talk a little on the 787, so kind of 2 related questions here. First of all, are there now excess capacity costs related to 787 given how low the rate has come down to you? And then when we think about the fourth quarter and some of the cash impact that you talked about there, what is related to 787? Is it deliveries? Is it additional rework? What's the driver of fourth quarter cash flow there?
Mark Suchinksi: Sure, Seth. Specifically on the 787, what I was referencing, the fact is we're -- we still have product that we're building in the line. We've got work in process. And prior to the pause here, we were producing and the factory was flowing at 5 aircraft per month. You saw the number of deliveries that we had in the quarter. So what that means is we weren't able to ship that product, although a lot of it is complete to collect the cash from Boeing. And so the impact of not being able to deliver and collect the cash while still having the work in process in the line has definitely had an impact on our third quarter and with where things are standing in the fourth quarter.  When we set the year, we were expecting approximately 15 deliveries per quarter. Obviously, with the challenges on the program, that's not where we're going to be. We've dialed down things in accordance with the direction from Boeing to try to minimize the cost. But I think it's just going to take between now and when Boeing makes the decision to -- or as they're working with the FAA to make decisions to resume deliveries, that has an impact on our factory in our flow and what we deliver. And there's still some level of uncertainty on that. And so if we can't get the product starting to flow out of our factory and making deliveries, that will continue to provide some level of headwind in the fourth quarter that we were not anticipating when we set our guidance for the full year.  And then on the side of the excess costs, I wouldn't say that 787 is resulting in true excess costs. But obviously, anytime you go from producing at roughly 5 aircraft per month and reduce that to something less than that, there's an overhead drag with that. And so that has a negative impact which has been -- which flowed into our 787 forward loss, but I'll also tell you that we not only produce fuselages, but we also produce wings and pylons and the slowdown of production there, that has a negative impact on many of our other Boeing programs, which did cause margins to be slightly more depressed in the third quarter, probably from where you guys thought things would be.
Operator: Our next question comes from Myles Walton from UBS.
Louis Raffetto: You've got Lou Raffetto on for Myles. Mark, if I can just come back to you, actually. I think you mentioned a litigation charge of $27 million. I was just wondering where that flowed and if that had anything to do with why the SG&A cost looks so high in the quarter.
Mark Suchinksi: Yes, you're spot on. The additional litigation reserve of $27 million was booked and recorded in SG&A in the quarter. And so that's the reason why it seems so out of line compared to where SG&A costs were in the second quarter.
Thomas Gentile: Yes, the other factor on SG&A was the Belfast operations are now included in SG&A, and they weren't there in Q3 last year.
Louis Raffetto: Okay. That's great. And then just -- you mentioned this a little bit about the third quarter, margins being a little bit lower. I guess how do we think about those margins going into 4Q and then into 2022?
Mark Suchinksi: Well, as production volumes pick up on the 737 and the A320 programs, that will obviously help improve the margins. It will reduce excess cost because production volumes will be absorbing more overhead. It will help us on the top line and on the bottom line. So as we progress through the fourth quarter with the higher narrow-body rates, fourth quarter is always a little challenging because of the holidays that you have there. But clearly, as we move into 2022, as long as the narrow-body production rates continue to track to what Boeing and Airbus has communicated on their calls, we feel very comfortable that we'll see the continued expanding of margins as we move into 2022. But obviously, it's going to take us a little bit of time to get back to our pre-pandemic margins and really what we're targeting based on the current projections is that recovery will occur in 2023.
Thomas Gentile: Right. What we've said is we'll be breakeven on an operational basis in terms of cash flow in 2022. And our goal is to get back to normalized margins in the 16.5% once narrow-body production rates increase. And for the MAX, that would be at about 42 aircraft per month.
Operator: The next question comes from Sheila Kahyaoglu from Jefferies.
Sheila Kahyaoglu: So maybe just following up on David's question, if we could think about the MAX ramp into next year, how do we think about the operating margin and free cash flow margin of the program? And maybe as a follow-up to that, I think you previously talked about hiring 4,600 employees by 2024. Can you remind us where your headcount is organically on the MAX today? Where it was at the peak and where you kind of expect it to go just given labor shortages?
Thomas Gentile: Right. Well, in terms of the MAX ramp up, what we've said is that once we get to a level of 42 aircraft per month, which is about where we were in 2016, is the whole company would get back to the margin targets that we were targeting, which is 16.5%. So -- and next year, as we've said, the goal is really to get back to breakeven from a cash flow basis on an operational level. So next year is still a transition period as the rates recover. And in the future, when they get up to levels like 42 aircraft per month for the MAX, that's when we would start to see the margins in that 16.5% level.  In terms of employees, overall, in Wichita, we have about 10,000 employees right now. Obviously, a lot of those are focused on our MAX production line, but they're also working on other Boeing programs. We don't really break out employees by program. We did say we are going to rehire 4,600 employees over the next 3 or 4 years. And that really has to do with the fact that we laid off in just Wichita, 5,200 employees during 2020 with the crises of the MAX grounding and the pandemic. We've recalled to date about 1,200 of those folks already. And our goal is to get all of them back as production rates continue, but that's where we are right now.  The other thing I would say is that group of employees that we can recall will ensure that we have mitigation to any fallout we might have from the vaccine mandate. As I said, we're working to avoid disruptions and we do have employees that we can recall to help ensure that we don't have disruptions.
Sheila Kahyaoglu: Tom, just to follow up quickly. Does the breakeven for 2022, is that a full year number or by year-end?
Thomas Gentile: It will be full year on an operational basis. The one thing I'll just point out, Sheila, is that we have a $123 million advance repayment to Boeing that's due next year. I don't think we're going to be able to offset all of that. So we're just focused on excluding that breakeven...
Operator: Our next question comes from Doug Harned from Bernstein.
Douglas Harned: Going back to the 787, there's so much uncertainty around this right now. Could you describe to us kind of what your base case assumption is for 787 over the next 12 months because you must have -- just trying to understand what your planning assumption is knowing that it might change. And also, are you -- what is your involvement in Boeing's work in the inspection and repair on the forward pressure bulkhead for the 787?
Thomas Gentile: Great. Well, in terms of base case, we're really guided by what Boeing has said which is they want to get back to 5 aircraft per month going forward. Now obviously, they have to restart deliveries, and they have to work their way back up to that. But we go by with what they provide us in the schedule, and that is what they have indicated publicly.  With regard to rework, as we've mentioned, in conjunction with Boeing and other partners on the program, we've done extensive engineering analysis to look at the production process on the 787 and basically validate that we're building it to engineering specifications. And in some cases, we've identified areas where there is rework that's necessary and we have been starting on that. And it's a couple of areas in the fuselage section that we build the forward fuselage, and that includes this part that you mentioned, the forward pressure bulkhead. We've identified what the issues are related to that, and we are preparing to do the rework. And we've already started it. We've already produced the parts that are needed, and it's going right on schedule.
Douglas Harned: And if I can just -- one follow-up. When you talk about getting to the 16.5% margin, the -- one of the things you've stressed is that going through this whole downturn has allowed you to take costs out and presumably you'll be able to perform more efficiently on the other end. Can you give us a sense of where those opportunities are? In other words, what will be different when you come out? You talked about automation at Prestwick, for example. But is this something we should expect to be more in Propulsion Systems, Fuselage Systems, if I want to use the old segments, Wing Systems? Is it more at one facility or another? How should we look at where these improvements should come out over time?
Thomas Gentile: Right. Well, the improvements are really across many of our facilities. So for example, in Wichita, Sam mentioned the Global Digital Logistics Center. That's a brand-new warehousing system that increases our efficiency. We've got 8,000 kits for 90,000 parts that we can deliver to the factory floor much more efficiently. We've also changed the flow in Wichita. So I've mentioned it before, but our plant 2, which is our biggest plant, about 1.3 million square feet of manufacturing, which is where we build the 737 fuselage, we've taken some of the big subassemblies out of plant 2.  So for example, the entire forward fuselage and the entire wing box and move those to other facilities on our campus and across Spirit so that they'll come in as completed units. That makes a much leaner flow. It helps eliminate any traveled work. It increases productivity and efficiency and it also improves quality. And we've added a lot of digitization as well to the factory floor. Working in conjunction with different partners, we've added workflow solutions that leverage our SAP system and our MES system, our manufacturing efficiency system, so that we can track product flow through the factory. So those are examples in Wichita.  Over in Prestwick, we mentioned some of the work that we did on our new advanced resin transfer molding spoiler line. So those are examples of how we're driving efficiency there. But the one thing we haven't talked about, which is probably the biggest driver, is work we've continued to do in our supply chain in our make-buy. And we've continued to work on the different initiatives to drive competitiveness in our supply chain, particularly with the addition of Belfast. They brought in a lot of new A220 work both on the wing and on the fuselage, and we've been able to leverage our global supply chain to drive improvements and competitiveness in that area. So it's a combination of all those things that are driving the improved performance as we go back. And those are offsetting some of the headwinds.  So for example, the headwinds are going to be that widebody production is going to be at a much lower rate for the next few years than it was before. 777, if you go back to 2016, it was at 8, but even as recently as 2019, it was about 5 aircraft per month. 787 was at 14 aircraft per month, it's going to be 5 going forward. A350 was at 10, it's going to be at about 5 or 6, as you heard  say in his earnings call last week. So we have to offset those headwinds. And the initiatives that I described are helping us to offset those headwinds and still get back to the 16.5% margins that we had back in 2016.
Operator: The next question comes from Robert Stallard from Vertical Research.
Robert Stallard: Just a couple from me. First of all, there were some press reports earlier this week that reckoned that half of your workforce is not vaccinated in Wichita. I was wondering if you could comment whether that's even vaguely accurate. But perhaps more broadly, what you're trying to do to mitigate this risk over the next few months. And there was also a few weeks ago, this report about an Italian sub-supplier who seem to have slipped through the quality net. I was wondering if there have been any implications from this?
Thomas Gentile: Great. Okay. So with regard to vaccinations, we were at 54% a few weeks ago. But as a result of a lot of the communication and working with our union and our employees, that number is substantially higher now. And it includes people who have also applied for religious and medical exemptions. But we expect that we will be much higher even before we get to the December 8 deadline. And as I mentioned, we have a number of things that we can do to mitigate that.  First of all, we have a lot of recall employees that we can recall in Wichita, we laid off 5,200. We've recalled 1,200 of those already, but we still have at least 3,000 or so on our recall list. We've been in contact with them, and the vaccination rates are quite high with them. So that's one source of employees that we can bring back. We've also opened up some new requisitions for new hires, and we've looked at contract agencies as well. So we don't expect a major issue in terms of disruption.  The vaccination rates are increasing. Our employees are getting on board with either getting vaccinated or applying for an exemption. And we expect that we will be in very good shape when we get to December 8.  Now with regard to the Italian sub-supplier, this was a processing house. Spirit does not buy anything directly from that particular supplier. It's called MPS. It's located in Italy. We did have some of our sub-suppliers who did some processing work in that facility, but we were able to quarantine those parts, analyze and assess them in conjunction with Boeing, and disposed of them in the appropriate way after that. So there really is no ongoing issue with regard to that supplier in Spirit.
Operator: Our next question comes from George Shapiro from Shapiro Research.
George Shapiro: Mark, I just wanted to follow up. I thought in the second quarter, you had said cash flow in '22 would be positive, excluding the Boeing payment. Now you're saying breakeven. Is the difference related to lower 787 build next year? If you could just give some explanation on what caused the change.
Mark Suchinksi: Yes, George, I would say that fundamentally, there's not a significant change from what we communicated in the second quarter and where we are now. We have definitely a line of sight based on where we -- where the production rates are unfolding at this point in time. There is no significant change in our assumptions as it relates to free cash flow next year.  As Tom indicated, when we talk about excluding the onetime repayment back to Boeing, from an operational execution standpoint, we continue to drive to breakeven to -- and focusing on doing better than that, getting positive. We definitely see a line of sight in the back half of next year, third and fourth quarter being cash flow positive based on those production rates. But at this point in time, we're not going too deep into guidance for 2022. We'll be able to disclose more specifically revenue and CapEx and cash flow targets next year when we talk in early January. But I would say, fundamentally, there are some deliveries moving around a little bit. We'll have to go factor all that in. But I would say our viewpoint on cash in 2022 right now isn't dramatically different than what we communicated in the second quarter.
Thomas Gentile: George, I apologize if I gave the impression that we were trying to somehow change something, even subtly. It was just terminology. When we say we'll be cash flow positive next year, better than breakeven, that's all we were saying. So nothing has changed in our outlook. And as Mark said, we're not giving guidance yet. We will do that next year. But I didn't mean to give an impression that anything had changed. It was just terminology that I used.
George Shapiro: Okay. And then one quick one for you. Tom, you had mentioned that you'd have headwinds because of the widebody production rates being lower. But in reality, I thought that would be a tailwind because you're really not making any money on the 87 or the 350, maybe you make a little bit yet on the 777. So if you could just comment on that.
Thomas Gentile: That's exactly it. 787 and A350, as you know, are both in forward loss situations. So less production on that would help. It's really the 777 and the fact that that's lower is the headwind.
Mark Suchinksi: Yes, George, and I would just -- final comment on that is you're right, if we deliver less -- if we're in a situation we have a forward loss, that means delivering less will help on the cash flow. But also if we produce less, that has a negative impact on overhead absorption. And so there is a pro and a con. A benefit on the cash flow side, but it puts a little bit of pressure on overhead and so -- on balance, if we deliver less forward loss units, it's good on the cash flow side. but there is a little bit of a drag from a production standpoint because of -- if we're producing less than what we were producing before.
Operator: And our next question comes from Ken Herbert from RBC.
Kenneth Herbert: I wanted to ask about the supply chain, if I could. How would you characterize the risk in your supply chain as you think about 31 on the MAX? And are you seeing anything yet in terms of either lead times or quality that you're having to address that's changing from your suppliers? And then as you think about beyond 31 after '22, where is the risk as you think about going up on the MAX? And are you having to take steps now to maybe further mitigate that, that could be incremental to what you thought you were doing?
Thomas Gentile: Well, on 31, we are quite confident that we're in line in terms of rate readiness across our supply chain. We've been working very hard with the suppliers, doing a lot of site visits and surveys and reviews of the raw material purchases, their hiring and their flow. So the good news is we, Spirit, and all of our suppliers have already been up at these levels and already at much higher levels. So the infrastructure, capital and tooling is already there. The employees were there, maybe have been furloughed, but can be recalled. And so that is going along fine.  The other thing is, as Mark said, last year, we took on a lot of inventory because rates were going down, we couldn't turn off the spigot fast enough. But while that was a bit of a headwind for us in terms of working capital, it really benefited our suppliers last year and gave them cash when they needed it. But this year, as we get into these new rates, we have that inventory that we can draw down. So that gives us a little bit of cushion in terms of the rate readiness. As we go beyond that, the issue is going to be making sure that people can hire the people they need as rates go up. And you've heard about some shortages of employees in certain areas around the whole country affecting many industries. But we know in Wichita, we have our recall pool that we can tap.  The other issue is long lead time materials, especially things like forgings and castings, and those need to be placed early. We've been working with our suppliers to make sure that they do that, that they're way in advance of when these scheduled increases are going to take place. So overall, I'd say we're fairly confident and optimistic in terms of meeting the 31 and then anything that comes beyond that on the Boeing side.  And on the Airbus side, a similar situation. We've been to the higher rates before. We've really, Airbus has talked about getting up to 65 aircraft per month on the A320 by the summer of '23. We've already been at that rate. We validated that we can produce at that right now and we're actually protected up to as high as 70.
Operator: The next question comes from Cai von Rumohr from Cowen.
Cai von Rumohr: So 787, a number of suppliers are saying they've totally shut down their production. So you've mentioned that you have a build in WIP. Just how many are you producing because you only basically delivered 5? And how do you deal with the fact that to kind of burn off your inventory, given we don't know exactly how many Boeing is going to deliver, what sort of rate profile should we look for on the 87 next year and for the fourth quarter?
Thomas Gentile: Right, right. So we've taken a pause on our new production as well right now, in line with Boeing and the other suppliers. So we're not producing new ones right now. We do expect that we'll make some deliveries to Boeing before the end of the year, just in line with the current schedules. And that has nothing to do with them resuming deliveries. It's just a normal flow back and forth between Spirit and Boeing. And with regard to production next year, again, as I mentioned before, Boeing has talked about getting back to rate 5. And so that's what we are aligning with as well, is what they are giving us in terms of the schedule. So nothing new to add other than what Boeing has already communicated in terms of their schedule for next year.
Cai von Rumohr: So if you actually are pausing deliveries, pausing deliveries, but -- excuse me, pausing production, but are going to ship some deliveries, I would assume that the 787 inventory hit in the third quarter would reverse somewhat in the fourth, giving an opportunity to have maybe cash flow toward the lower end of your loss projection?
Mark Suchinksi: Yes, Cai, I mean that's exactly right. But again, there's a lot of moving parts on the 787 program. We do think, based on what we believe we'll deliver in the fourth quarter, there will be some level of cash relief by liquidating some of those -- some of that inventory in the fourth quarter. But again, I think everything is tied pretty tightly with Boeing and them working with the FAA and getting on with making deliveries to their airline customers. As Tom indicated, we have a schedule on deliveries that is not dependent on them making deliveries to the airlines. We've got a line of sight to that. And at this point in time, we expect to make more deliveries in the fourth quarter than we did in the third quarter. We're not going to get all that specific now. But that -- if that holds, that should provide a little bit of cash lift in the fourth quarter.
Operator: Next question comes from Hunter Keay from Wolfe Research.
Hunter Keay: First one, kind of a quick one. Can you elaborate on the A320 cost increases that you mentioned? What are those? And then why couldn't you collect cash for the 87s that you built like you could for the MAXs? Is there something different? Even though you were storing the MAXs, you still collect -- you still deliver them, I thought, and collected cash. Is there something unique about that contract? Or is it this particular situation?
Thomas Gentile: Well, let me take that one first. There's no difference. When we ship a product to Boeing, they've always paid us, including on the MAX. So all the ones that are stored here in Wichita, those we've shipped to Boeing and they've paid us for those. So they're stored here in Wichita, but there -- but Boeing has already paid for them. And similar with the 787, whenever we ship a unit to Boeing, they pay for it. So no difference. Your first question was on A320 cost increase, and I'm a little confused. What specifically?
Mark Suchinksi: Yes. So on that, Hunter, we're seeing, specifically on the A320 program, we're seeing some pressure on freight costs, shipping costs coming out of Asia. Times on the water have extended dramatically and container costs have gone up significantly. I think we've all read about some of the supply chain challenges. And so that -- those costs have put some pressure on our margins on the A320 program. We don't think that they're long-lasting. But like many other companies across the world, we're seeing freight costs have a negative impact on our A320 program. But I think as we move into 2022, we'll see some relief from that as things start to get back to normal.  And maybe just a little bit more clarity. I think what you were insinuating on 87 and 37 is we stored a bunch of fuselages on 737 for Boeing as they were dealing with the MAX situation. They wanted us to continue to produce, store them so that they could resume production fairly quickly. The 787 is a different situation. They have 100 units that they haven't yet delivered. And so they're not really wanting us to build more aircraft and them take on more inventory. So that causes a slowdown in production. And therefore, we don't deliver and we don't get to relieve the inventory and book the revenue and collect the cash. I think it's 2 specific -- 2 separate situations.
Operator: Next question comes from Kristine Liwag from Morgan Stanley.
Kristine Liwag: Tom, with the new -- the 3 new segments, aside from reporting, can you discuss what this means for changes to underlying operations and organizational alignment? And ultimately with...
Thomas Gentile: Kristine, I'm sorry, could you repeat that? I didn't get the first part of the question.
Kristine Liwag: Oh, sure. With the 3 new segments, aside from reporting, can you discuss what this means for underlying operations and organizational alignment? And will this change in reporting result in restructuring expenses later on?
Thomas Gentile: Right. So the answer on restructuring is no. What we've done is -- in the past, we did have a defense and space group already, and we had a leader for that, a gentleman named Duane Hawkins. And so that has stayed separate and continues to report to me. Aftermarket previously reported into our Chief Operating Officer, Sam Marnick. We've pulled that out as an entire group, and it's got some additions because of Belfast and because of this new Applied Aerodynamics, but it now is a stand-alone group.  And then the Commercial group, which Sam Marnick will now lead, we've combined that in terms of the Airbus group, our Boeing group, our business jet group and our eVTOL group as well as our make-buy organization, which includes all our supply chain. So that was more reorganizing the way we are structured. Now we'll drive synergies as we go forward in those different areas. But we don't expect any restructuring costs as a result of this. But we have aligned our organization to the 3 reporting segments, and we have a leader for each of those reporting segments, and that's how we'll report our revenues, profitability and cash flow as we go forward.
Kristine Liwag: Great. And if I could follow up in terms of suppliers. I mean so for your positive free cash flow for 2022, aside from the payment back to Boeing, what are you factoring in there for additional supplier help, right? Because of the labor issues that we're facing, inflation and even you guys are facing higher freight costs. Presumably, your suppliers are facing something similar, are you anticipating that they would need more help in 2022 in your free cash flow outlook?
Thomas Gentile: No, we don't have anything specifically built in. We did do a lot of support during 2020 with suppliers. We provided help and assistance to over 600 suppliers that totaled over $2 billion worth of value. And a lot of that was contract extensions, which we provided so that it could be basically back to back with the contracts that we have with our OEMs. And so that's how we are thinking about 2022, is we're not providing any specific support, but all of our contracts with suppliers tend to be 5 years. And so we do have some expiries during 2022, but it's actually quite a low year of expiries. And so for the most part, our contracts are in force and will stay in force for next year and the prices are locked in.
Operator: Next question comes from Ron Epstein from Bank of America.
Ronald Epstein: Tom, maybe two questions for you. The first one on the defense business. With the goal of trying to get to $1 billion by 2025, that seems like you need to grow that business by -- on the order of maybe $300 million, if my math is right. How do you propose to get there? I mean is that just program pickups of stuff that you already have? So will it be organic? Or are you going to do more M&A in the defense space? I mean how should we think about that?
Thomas Gentile: Well, first of all, yes, the growth that we're anticipating to get to the $1 billion by 2025 is organic. So it's -- the current programs we're on, as they achieve their program of record, we will grow to that level. And this includes some new programs that we've won that are classified. But it's all organic. It's things that we have already won and that they just carry out. And it doesn't include programs that we are on, but are competing. So for example, the V-280, which is the -- with Bell and that is for the FLRAA program, the future long-range assault aircraft. So we haven't anticipated or put that into our outlook. If we did win that, that would be in addition and incremental to what we're looking at. But everything else is just organic based on the programs of records of the programs that we have won.
Mark Suchinksi: Yes, Ron, just some color on that, and we'll talk more about the sense in our future earnings. But back in 2016, we -- on the defense side, specifically, we had 3 programs with $1 million or more in annual revenue. And currently, we have in excess of 21 programs that generate more than $1 million on the program level. So as you -- those are just some quick facts. I mean we didn't -- based on our previous product-driven segment, we have been doing a lot to grow on the defense side. Over the last couple of years, we continue to grow somewhere between 10% and 20% per year, and that is organic wins. The acquisition of FMI has opened a lot of doors. Tom and -- Tom has talked about the teaming agreement we have with Lockheed. We're doing a lot of really good stuff on the defense side. Our defense team has done a great job of winning new platforms. Tom talked about the 5 areas that we're growing on the defense side. But that $1 billion is going to come through. It's based on the programs that we have. We've got a few in the hopper, a few that could really make a bigger difference, the one that Tom just mentioned.  But we're really excited about Defense & Space, and we continue to add programs. Our team has done a great job. We've got a great relationship with the defense primes. And I think we'll continue -- on future earnings calls, we'll be sharing a lot of successes with you as we win more work. Unfortunately, sometimes it's classified or top secret, we can't get into those details. But we're really pleased with where defense is and where we where we see those top line revenues going over the next couple of years.
Ronald Epstein: Got you. Got you. And then maybe a related question. So your -- one of your biggest customers, if not your biggest customer, has caused all kinds of issues for you guys, right? I mean 73 problems, 78 problems, where do you see yourself? I mean, this is big picture, 5 years, 10 years down the road, are you going to be so beholden to them, right? Because they're making your life really, really hard. So I mean, as you manage this business, I mean, what's your ultimate goal in terms of how much you're going to be kind of subject to other people's mistakes?
Thomas Gentile: Right. Well, this is one of the things that we've said is that during the pandemic, it was very clear that our concentration made us more vulnerable. So our concentration in commercial aerospace, and original equipment, obviously, a lot of work with Boeing and with the MAX. And by the way, we think Boeing is a great customer. We love the MAX program, and we want both to grow.  But that said, we know that we need to diversify to ensure Spirit's future. And what we said is our aspiration ultimately in 10 years, if you said, where do we want to be, we'd like to be 40-40-20, 40% Commercial, 40% Defense & Space and 20% Aftermarket. And we have a long way to go to get there, that would include organic growth, it would probably have to include some inorganic growth as well. But that's the aspiration is that we'll be a much more diversified design and manufacturing champion in the aerospace industry.
Ronald Epstein: Got it. Got it. Got it. May I ask one more? Is that okay?
Thomas Gentile: Sure.
Ronald Epstein: So previous management teams, I don't want to paint you with kind of that color but, have tried to diversify and it hasn't really worked well. So as you go down this diversification path, I mean, how can we feel better as outsiders looking in that you won't fall in the same traps that happened in the past?
Thomas Gentile: Right. Well, the diversification sometimes worked, sometimes didn't, but all of it helped build the foundation and the base, and we learn from every single situation. And I would say that's really the key, is we did learn. I mean we can look back and say, where did things work, where did they not work and what was key to that. One of that is learning how to program management different programs with different customers and understanding the dynamics of how those work. We've got a lot more experience for how to do that. We know how to set up contracts and we know how to execute programs so that we don't fall into some of those same issues that happened before. So that's one thing.  The other is just having more diversified opportunities in front of us. Mark talked about some of the new defense programs that we've won and it's a lot more broad-based. We've also been able to acquire and bring in some new talent. For example, FMI, which we bought at the beginning of 2020 is based in Maine, but there are some worldwide experts there in terms of high-temperature materials. And so we've really strengthened the team.  And I would say the same is true in aftermarket. The group that we picked up from Bombardier in Belfast and in Dallas in aftermarket are really experts that are helping accelerate the growth. And then on top of that, we've done this new bolt-on acquisition with Applied Aerodynamics that again has brought in new talent. So that's another factor, I think, that will help us as we go forward is that we've brought in a lot of new talent and expertise that are really very strong in these new growth areas that we're focusing on, Defense & Space and Aftermarket.
Mark Suchinksi: I would also say this, Ron, when we think about new work, we're going to be very focused on the right kind of new work. I talked a lot about defense. A lot of the new defense platforms that we're on are cost-plus type arrangements. We have big focus on aftermarket. We've talked about the fact that these are 20-plus percent margins accretive. So when you think about growing and diversifying, there's areas that we grew or tried to diversify in the past. What our focus may be is quite a bit different as we think about diversification now compared to where are we before. And that different focus, I think, will lead to being on programs that drive more consistent earnings and cash from the big investments that we've made on some of the big, brand new commercial development programs that take forever to generate positive cash flow. And that just kind of added color on top of what Tom talked about. I think we are a much more mature company. But it's something that we think about and talk about quite a bit and are very, very focused on as we grow and diversify that it's meaningful from an earnings and a cash flow standpoint.
Operator: And the next question comes from Noah Poponak from Goldman Sachs.
Noah Poponak: Tom, you mentioned being optimistic and constructive on getting to 31 a month and then higher on the MAX, and you specified confidence in rate readiness of your supply chain in that conversation. Boeing on their earnings call, seem to be suggesting seeing supply chain challenges beyond 31 a month. And I wondered, in your view, was that incremental and specific? Or was that just, broadly speaking, there are supply chain challenges, and we'll keep an eye on them because your message seems a little different there? And then how does that all roll up into a realistic reasonable range of MAX volumes for you next year when we consider their rate inventory, your rate inventory and then these other items?
Thomas Gentile: Great. So I would say I wasn't trying to be different necessarily than Boeing. I would only highlight that their supply chain is a lot more complex than ours. In other words, our supply chain, as we look is aerostructures. They're dealing with many other different types of suppliers. So they may be seeing things that we don't see. When I look at our supply chain in terms of aerostructures, there's always challenges, but we see our suppliers being prepared, rate-ready and taking the necessary actions so that we can meet the rate requirements that we have for next year. So that could be the difference is they're looking at a much broader set of suppliers in complex parts of the aircraft.  With regard to MAX volumes for next year, we haven't provided guidance on that yet. We've just indicated -- what Boeing has said publicly is they're going to get to 31 aircraft per month in the early part of next year. And we're going to lag them to burn off the buffer that we had built up. So the buffer right now is at about 110 units. It will be at 100 by the end of the year, and we expect it will be 20 by the time we get to fourth quarter of next year. And so we'll burn that off and make sure that we are meeting the rate requirements that Boeing has. And as they become more public and clear in terms of what the rates will be on 737 for next year, we will be as well.
Noah Poponak: If I could just quickly follow up. Are you aware of any specific bottlenecks that the large commercial aerospace original equipment narrow-body market is looking at because while I recognize that their supply chain is broader than yours, if that affects their rate, it affects you and you have to manage to that.
Thomas Gentile: Right. I'm not aware of any specific bottlenecks. We do obviously talk to all of our colleagues in the industry and we watch it because you're absolutely right. Aircraft are complex and even one part could hold up delivery. So if any part of the supply chain holds up delivery, it would impact Boeing and therefore could have an impact on us. But I'm not aware of any major bottlenecks that would impact the 31 aircraft per month next year.
Operator: And we have time for one more question. And the final question comes from Michael Ciarmoli from Truist Securities.
Michail Paraskevopoulos: Maybe just two quick ones, Mark. Excess capacity costs picked up. What's sort of the trajectory there? I know originally, you wanted to cut it by 30%, obviously, it changes with the 787. How should we think about those costs into '22? And then any more detail you can provide on the A350 charge, given the schedule change there? How should we be thinking about $350 million going forward?
Mark Suchinksi: Thanks, Michael. On the excess capacity costs in 2020, we recognized or recorded roughly $280 million worth of those costs, mainly on the -- 737, A220 and a bit on the A320. We saw a little bit of a tick up here in the third quarter. That was mainly due to the fact that we hadn't yet broke the higher rate on 737. We were hiring, staffing up a bit and producing at a higher rate but not delivering has a negative impact on the overall excess costs. I think you'll see another nice dip down in the fourth quarter. And as we move into 2022 -- or let me step back, we're still figuring 25% to 30% reduction this year compared to 2020 on total excess costs. And with the rates that we're looking at next year, we should see another significant drop. And I would tell you, well in excess of 25% next year as the production rates go back up.  So I think we're making really good progress. Deliveries are going to be the main driver of our ability to reduce the overall excess costs. We've got a large site. We see good projections on the 37 and the A320 that will be helpful as well as the A220 wing is going up in rate again next year based on all the information we got from Airbus. And so all of that is going to help lead to lower excess costs next year, and that will help not only profitability, but cash as well.
Thomas Gentile: And then the A350, it really was based on schedule changes, the forward loss in this quarter. And that program is stabilizing. It's actually producing operationally, probably the best it has in its entire history for Spirit. So we're very pleased with that going forward. This issue was really just schedule-related. And obviously, that should start to turn around as air traffic recovers.
Operator: This concludes today's call. Thank you so much for joining. You may now disconnect your lines, and have a great rest of your day.